Operator: Good day, and thank you for standing by. Welcome to the New Fortress Energy Third Quarter 2021 Earnings Conference Call. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Josh Kane with Investor Relations. Please go ahead.
Joshua Kane: Thank you. I would like to welcome you to the New Fortress Energy Third Quarter 2021 Earnings Call. Joining me here today are Wes Edens, our CEO and Chairman of the Board; Chris Guinta, our Chief Financial Officer; and Andrew Dete, Managing Director, leading our Brazil efforts. Throughout the call today, we are going to reference the earnings supplement that was posted to the New Fortress Energy website. If you've not already done so, I'd suggest that you download it now. In addition, we'll be discussing some non-GAAP financial measures during the call today. The reconciliations of those measures to the most directly comparable GAAP measures can be found in the earnings supplement. Before I turn the call over to Wes, I would like to point out that certain statements made today will be forward-looking statements, including regarding future earnings. These statements, by their nature, are uncertain and may differ materially from actual results. We encourage you to review the disclaimers in our press release and investor presentation regarding non-GAAP financial measures and forward-looking statements and review the risk factors contained in our quarterly report filed with the SEC. Now I'd like to turn the call over to Wes.
Wesley Edens: Great. Thanks, Josh, and welcome, everyone. As usual, please refer to the earnings deck that we sent out to you. That's what we're going to walk through here in just the next few minutes. So with that, let's just turn to the beginning. So Page 4. Excellent, excellent quarter. Not only did we hit the margins that we had laid out for you just a month ago, but we've increased those forecasts by roughly 50% since the beginning of the year. We did this not by being long the market by making some directional bet, but rather, we did this by utilizing our portfolio of assets and terminals around the world combined with their supply to put ourselves in a great position to take advantage of the market opportunities. By the numbers, for the quarter, $210 million in margin. In July, when we gave an update as to what we thought expectations should be for the rest of the year, we had a $171 million. It's obviously a significant beat to that. And the fourth quarter, our estimate now is $375 million. So right on top of where we thought we were a few weeks ago. 98% of the revenues are booked for the quarter. So that's obviously something which we feel is pretty well baked at this point. That was $184 million this summer. So in total, an uplift in earnings from middle of the year to the second half of the year and estimates of $219 million, $585 million in total operating margin for the second half of the year, annualized obviously well over $1 billion, puts us on a very, very good track to achieve our goals for next year and the years after. So $1.1 billion 2022, $1.5 billion in 2023. So very, very good by the members. Next page. The 3 drivers of the business are really the terminals business, the fast LNG and our energy transition. In the terminals side of the business, the focus for us now is very much on finishing our existing pipeline adding new terminals very selectively around the world and then really generating significant organic growth without the introduction of a lot more capital. So this -- over time, this will reduce the CapEx spend across the portfolio on the terminal side substantially. And access to these high-margin, high-volume markets like Brazil, Ireland, Sri Lanka, gives us a tremendous amount of capacity to distribute our products for the gas or power or both and doing so in a very capital-efficient way. Fast LNG, there's a lot to talk about there. And obviously, with what's happened in the marketplace, there should be -- and we think there is a lot of focus on it. The decision to go FID on the first of the liquefiers back earlier in the year, in hindsight, looks like a very, very good one. We have the only uncommitted liquefier scale that will be completed next year. So in a marketplace that is short and I'll walk through our views of it, but likely to stay short for some time. We are the only people that can actually supply that with 1 and possibly with 2. So the opportunity to add to that, whether it's for a customer and providing tolling revenues for us or whether it's for our own portfolio on the merchant side or quite possibly both, which is in a very, very good place. Lastly, with respect to energy transition, we have had a lot of productive work done on that behalf. We are near FID on our first facility, which we believe could be as soon as the next couple of weeks. We're talking about blue hydrogen with carbon capture, which we think is the definitely the path of transition fuels generally, very viable economically at roughly $1 a kilogram. So very much the sweet spot in terms of that, very well positioned to benefit from upcoming legislative actions, which we think will promote incentivize hydrogen production. So a very, very good quarter for us across the board. Question, of course, that a lot of people have is what in the world is happening to the market. So let's look at Pages 7 and 8 and 9, I'll give you our thoughts about it. The chart on the left-hand side tells a very compelling story. The systemic underinvestment in the oil and gas industry has resulted in a decrease in terms of the availability of hydrocarbons and leaves us very vulnerable to shocks at different levels. So for 2014 to 2021, we've gone from roughly $800 billion in capital invested in the production of oil and gas to $400 billion today. The chart on the right-hand side, you can see that you've gone from 95% of the capital being allocated to conventional gas and oil exploration to roughly 50-50 today. So remarkable changes in a very, very short period of time and ones that we are very much on board with in terms of focusing on a greener, cleaner carbon-free future. The problem is you still need hydrocarbons today. And you look at Page 8, you can see what happens. So basically, this systemic underinvestment has led us to be as a market very vulnerable to shocks. And lack of rainfall in Brazil, causing a decline in the hydro the hydroelectric power generation. Too much rain in China that caused them to not be able to mine enough coal. Lack of wind in Europe, lower Russian supply, faster economic recovery, all these things kind of happening at the same time, had a profound impact on the market. This 100-year events that you're seeing in terms of the pricing of this is one that I think we could all see on an annual basis because you just -- what we've really done is lowered the amount of surplus that you have into any of these shocks or any combination of these shocks together leads you very vulnerable to much higher prices. If you go on Page #9, what does that mean for our markets? We believe that the demand for LNG is expected to materially outpace the supply of it. There's a significant amount of LNG production, which comes on in the second half of this decade. -- but there's a whole host of different uses for it. I chronicle a handful of them on the right-hand side, they could really greatly outpace supply. So coal to gas conversions, oil to gas conversions increases in the number of electric vehicles, cryptocurrency, like the actual Bitcoin production that is using a significant amount of energy, hydrogen production, ship bunkering. There's a list of literally dozens of different uses of the product. and there are only a handful of different sources of it. So we think this puts us in a position where you could see market shocks on the system as we're seeing right now, and on top of that fundamental shocks as you have just absolute needs for energy production and a lack of capacity for it. So with that, let's talk about the terminals. I'll turn it over to Andrew Dete.
Andrew Dete: Thanks, Wes. So two pages on Brazil here. And what we want to do is provide a quick macro update on the energy shortage in Brazil and then talk about how that's leading to new business opportunities for NFE. So looking at Page 11, I wanted to provide a continued update on what we've been tracking in terms of energy shortage. So on the left side, kind of as we've been showing with low hydro resource and low reservoir levels in Brazil, of course, leading to low generation numbers for the hydro capacity. So Brazil has about 65% of its installed capacity as hydro. And then last month, those hydros have been providing only about 20% of the actual power supply. So since August 2020, Brazil is actually experiencing the worst hydrological period in the last 100 years. And we're seeing that play out in the actual generation data here on the left side. On the right, what we're showing is that the compensation mechanism for this is almost entirely new LNG supply. So Brazil historically has imported about 3 million to 4 million gallons a day given kind of the 2018, 2019 numbers. But in the last few months, Brazil has been importing 19 million gallons a day in September and 18 million gallons a day in October, and on track for obviously a record year in terms of LNG supply and in terms of thermal power generation. One of the things we find interesting about the graph on the right, which is that we break down the historical supply balance also for domestic gas and for Bolivian gas imports, which you can see over the last 5 years have both either been static or declining. And so not only is kind of new thermal power the avenue of growth for LNG demand in Brazil, but you don't have growth in other sort of energy sources and natural gas sources. And so while we're seeing this increase, obviously, in thermal generation, driven by LNG, we expect to also see other energy shortages be answered by LNG in Brazil as well and the data are supporting that. If we flip to Page 12, we see how this current shortage is leading to new business opportunities for our terminals. So we're focusing here on the Santa Catarina terminal, which you see in the map on the left. In September, Brazil announced a new emergency power auction, which was run on October 25. They awarded PPAs to 1.2 gigawatts of new power, which will come online starting in May of 2022. So a pretty quick turnaround. We're very happy to be working with these developers. We expect over 900,000 gallons a day of new supply to support over 400 new megawatts. The average power price [indiscernible] was about $0.15 per kilowatt hour. And the demand profile for these plants is almost 100% firmed over the 44 months, so May 2022 to end of 2025. This is obviously an outcome of the crisis that we've seen. The auction responded to this by being focused on the South and Southeast regions of the country, which have been hardest hit by 2 things, really the shortage in hydro resource in the lowest reservoir levels as well as kind of new power plant formation over the last few years in Brazil, which has been concentrated kind of on renewables and new thermal generation in the Northeast. And so this auction is really a direct response to the situation we've been seeing. And I think our terminal is very well situated. So outside of some very limited domestic gas, the -- our LNG terminal is really the main source of supply for fuel to these new power plants. And so we're really seeing kind of a direct outcome of the themes Wes has been talking about globally, focused on the specific issues into Brazil and look forward to updating everyone more as we make progress with these new power plants.
Wesley Edens: Great Thanks, Andrew. Let's talk for a minute about FLNG, and we'll start with my favorite cartoon on Page 14. So just as a reminder for people, what is Fast LNG, it's just basically using existing marine infrastructure to place liquefaction materials onto it. Why do this? Because it's, a, faster; and b, cheaper. So half as much time, half as much capital. And as I said, we went FID on FLNG 1 and the long lead items and that's under construction right now. And the punchline is on time and on budget, expected to be mechanically complete in the middle of next year and then allowing for 3 or 4 months for commissioning. We think we're ready to deploy that at the end of the year. If you look at the business opportunities on Page 15, they fall into 1 of 2 different camps. Basically, we can take this year, and we can deploy it for others and charge them rent for it. So that's essentially what we have with the Hilli, which we own 50% of. That's a tolling relationship where we build, own and operate, we collect rent from high credit quality tenants. It produces stable and long-term cash flows. Great utilization of the IP, the significant IP that we have here from the technical side to basically create this on behalf of others. The second path is to basically do it for ourselves. So again, we build, own and operate. We own the volumes less predictable cash flows, but the risk is greatly mitigated by the terminals and the downstream operations that we have, and it has the potential to generate significant windfalls. So if you just flip to Page 16, on the tolling side, we have a use case in the form of the Hilli, that gives us a very good example for what the economics of this looks like. So this is a shift that cost $1.2 billion to build. That's 2.4 million tons, 4 trains, 40 months of total construction time. Economics basically are right around $3.25 an MMBtu, and then they get paid another $0.05 for every $1 that Brent is higher than $60 a barrel. So simply, in today's market that will generate about $250 million to $300 million in capacity payments for this installation. Our Fast LNG equivalent is obviously our cost is lower. We're 1.2 million tons versus 2.4 million tons. It takes us 18 months to build it. And because the demand for LNG is so high right now. When you look at the market today and the market for it over the next several years, the next several years are very, very valuable years. As a result, people are willing to pay more in rent to get access to that. So even though you don't have market exposure on the tolling side, because people can benefit from having higher volumes in these elevated markets. They're willing to pay more for rent. That's the simple economic profile of it. So in this case, again, the $275 million to $300 million in capacity payments using similar illustrative rent charges. You can see that while it's not merchant volumes, it's a very, very attractive proposition to simply be providing for others. Put to Page #17. So the merchant potential obviously is extraordinary. And what we did simply is I just took a 2 million-ton example, rented it out by month from 2020 to 2021, and compared what the cost of LNG of $4.50, which is rough justice for what we think the all-in cost of the product is. And then look at the different indices and just then trying to annualize and show you what the impact would be if you had those volumes to sell into the marketplace at those points in time. So if you look at the yellow box at the bottom, you can see 2021, these are monthly numbers, so $170 million, $274 million, $601 million. They're obviously significant. You flip into -- later in 2021, in 2022, and the numbers obviously go off the hook. So -- and the key to this, the phrase of the day is asymmetrical exposure. In a market environment, this is the Holy Grail. What you're trying to do is get asymmetrical exposure to a commodity and which means in simple terms, you have very limited downside and you have extraordinary upside. The very limited downside exists because we have this very large and very robust set of terminals and assets around the world. So we can access those markets and sell our products directly to customers in those markets and thus reduce our exposure to markets while still maintaining kind of the market exposure to the extent that things do better. When you look at these numbers, -- It ranges from a good outcome to an extraordinary outcome, which could generate, for just this 2 million-ton example, $2 million to $3 million in marginal EBITDA on an annual basis. So it's an extraordinary market, and this is the way to do it. Page 18, you look at this collection of the assets that we've got. As I said before, we've invested roughly $8 billion and 7 years of our lives building these assets around the world. We'll continue to add selectively to them, but we already have a very, very robust fleet of it, so this is literally the 7-year overnight sensation of being able to actually create all this demand downstream and access it and us with this combination of tolling revenues, which is really infrastructure returns -- very high infrastructure returns but appropriately so, plus merchant returns, we think is a very, very powerful combination. So with that, let's just talk briefly about energy transition, and I'll turn it over to Chris. But the Page 20. The pie chart on the left-hand side is what we looked at, we focused on our activities. So 75% of all greenhouse emissions come from 3 sectors. So industry, power, transport, in particular. Full decarbonization of these will not happen overnight, and electrification alone cannot support a decarbonized economy. But the large consumers of fuel for heat and power need a low-carbon alternative. We believe, I believe that blue hydrogen, or its cousin blue ammonia, is the affordable low-carbon solution. We get asked all the time about blue hydrogen versus green hydrogen. Green hydrogen obviously is made from renewable power. Blue hydrogen is made by simply taking natural gas and splitting it out into the hydrogen and then the CO2 has been sequestered. So it becomes effectively clean through the sequestration process. Obviously, everybody is ready for a green-hydrogen alternative, but it's just simply a matter of cost at this point. We believe that we can generate blue hydrogen at roughly $1 a kilogram. To convert that into natural gas terms, you just multiply by 7.5. So $1 times 7.5 is obviously $7.50. That's very, very competitive as a fuel for lots of industrial uses as well as transportation. The green hydrogen alternatives at this point are 3, 4, 5, 6x as expensive. And while some people can afford to pay that, most people cannot. So it's a luxury good as opposed to a staple that people have. What we have done is we've made significant process with our partners that at FTAI and the infrastructure fund. We are nearing FID in our first blue ammonia production facility. So a facility that has the 3 principal food groups that you need. So it's got access to natural gas and ample terms. It's got a CO2 pipeline, which is next door, it allows you to inject into it and it's got water for transport. So you can then take it away from you. One of the other aspects of the site that we are looking at is it's also within a terminal situation where we can access potentially low-cost tax-exempt financing. And so when the -- when we finally get to FID, we'll obviously get back on the phone with you all and walk you through the economics that we think there could be a very, very attractive financial profile of this as well given the access to the financing. We expect to be permitted and have EPC contract in hand and get the financing completed by the end of Q1 2022 and then to be online and operational 20 to 24 months after it. Page 22, obviously, there's a lot of discussion about, I think, rational efforts on the build-back-better act. We are obviously following this closely. When you look at that act and you focus on what it means for hydrogen production, the answer is $15 billion that is awarded for hydrogen production, carbon capture emission reductions of projects. There's been a whole host of different aspects of it that we think are all relevant and actionable within our portfolio. So this, we think, is the right move by the government. I said before, I think the U.S. government can play a major, major role in the transition energy economy. And we are very well positioned to be a beneficiary of that as obviously the efforts that we have taken under way are only enhanced by these kind of programs. So the plan forward, very, very simple, on Page 23. Build this proof-of-concept blue hydrogen plant, utilize our existing downstream infrastructure for both transport and distribution, and then help the transition to heavy polluter industries, shipping, cement and steel are probably the 3 most likely focuses for us in the near term. Chris?
Christopher Guinta: Yes. Thanks, Wes. Good morning, everybody, and thank you for your time. I wanted to start today with a comment on the amazing work that NFE's employees are accomplishing in partnership with our customers. NFE is now over 800 employees strong, and they work every day to lower energy costs and decarbonize the communities in which we operate. It's a privilege to work alongside these individuals who make our fight against energy poverty possible. And it's as a result of these employees the graph on Slide 25 shows our hyperbolic growth over the last several quarters. In a little over 5 years, NFE has gone from a small development company to a world leading energy infrastructure business. In fact, if you go back to the initial operations, the online date of our liquefier in Miami took us 18 quarters to get to positive operating margin. Yet in the last year, we've transitioned over $1 billion in annualized margin. Further, as this slide details at the time of our IPO in early 2019, we had negative margin in a fraction of our current employees. Our infrastructure footprint is no less impressive. In 2019, we had only 11 customers across 3 assets in 2 countries. Today, we have well over 50 customers across 20 assets in 12 different geographies covering all sides of the globe. Our earnings profile is large, extremely diverse and continues to expand every day to become increasingly stable, predictable and heavily growth oriented. On this page, we highlight the financial performance for 2H 2021, which will be nearly $1.2 billion of annualized operating margin. And as Wes said earlier, we are forecasting $375 million for Q4, of which 98% of those cash flows come from contracts already executed and nominations received from our customers. Now turning our attention to Slide 26 and the financial results for Q3. We sold an average of just under 1.8 million gallons per day for the quarter and earned revenue of $305 million. The Terminals and Infrastructure segment operating margin was $116 million for quarter 3, which is over double any previous quarter in our history. The $20 million increase in our Ship segment operating margin to $95 million as a result of the full quarter's results being included, but was also the beneficiary of elevated spot market charter rates for the Celsius and the Penguin. One thing we wanted to highlight here is the consistent and expected cost of LNG during a quarter that saw spot LNG prices range from $10 to $30 per MMBtu. NFE sourced LNG at an average purchase price of $7.10. Another important thing I wanted to remind everyone of is the fact that all of our customer contracts online in Q3 and over 80% of our contracts at run rate, the underlying commodity is a pure pass-through. So we buy at Henry Hub Plus and we sell at Henry Hub Plus, which provides the foundation of our high margin net spread business. SG&A for Q3 for the core non-growth business was approximately $20 million, excluding costs incurred to develop new projects and other nonrecurring noncash items. A quick comment about the balance sheet. As we included on the page, NFE has over $330 million of cash on hand at September 30 and nearly $700 million of availability on our revolver, our ship facility and our Jamalco financing. Finally, please turn to Page 27, you can see the punchline, which is that NFE is a robust cash flow machine. We are committed to our goal of becoming an investment-grade company, and we are well on our way to achieving investment-grade metrics. We've dramatically increased the scale of the business going from 3 to 11 terminals across 12 different geographies. We've diversified our cash flows, which include volumetric gas and electricity revenues, capacity payments, shipping, cargo sales, et cetera, and have expanded earnings to over $1 billion in operating margin. We are on target for 3x debt leverage coverage ratios. And lastly, we have derisked the business model by controlling our own shipping costs as a result of the GMLP and Hygo mergers, and will further vertically integrate by producing our own LNG. As we continue our credit enhancement initiatives and get upgraded, we can free up over $200 million of annual cash flow through simplifying and refinancing our capital structure. We expect we can refinance our $2.75 billion of high-yield notes at rates of approximately 300 basis points lower than current borrowing and reduced interest expense by roughly $80 million a year. Furthermore, over time, we can refinance $1 billion of asset-level debt, which removes over $120 million of annual amortization. Unlocking these additional cash flows is the next key step in maximizing our cash flow available for reinvestment or for dividends. With that, I'll turn the call back over to Wes.
Wesley Edens: Yes. Just before we go to questions, if you flip back in the appendix, Pages 29 through 32, for you credit investors on the phone, these pages are for you. I mean basically, it's just a continuation of what Chris just laid out. When we did our first corporate bond issuance, which was in July of 2020, so only 15 or 16 months ago -- it seems like 15 or 16 years ago, there's been a lot that's happened in that period. But at that time, when we spent time with the agencies, and made our case for what we thought the creditworthiness of our business, they obviously agreed to an extent, which is why we got the high single B rating. They said basically the 3 pillars that we needed to address to kind of justify a better rating were the ones that we show on Page 29. And they are simply more earnings, more diversity and more operational history. And in a short period of time, we've made a remarkable amount of progress in all 3 of those. So at the time of the initial rating, our operating margin was $200 million. Operating margin for the second half of this year, $585 million, $1.1 billion this year. So obviously, have had tremendous growth in earnings. On a diversification standpoint, at the time of the rating, we had 3 terminals, 37 customers, 2 geographies. Today, we have 11 terminals, over 100 customers in 11 different geographies. So massive, massive change in the diversified footprint of our business. Operationally, at the time that we did our initial bond transaction, we had no owned ships, and we had 300 employees and limited operational experience. Today, we have over 800 employees, a very robust ship portfolio, a ship portfolio that is not only relevant to providing us the ability to service our customers and our terminals, but also then to access the merchant rates we've done here in the last few months. So this is a nuance, but without the ship expertise and the operational capabilities of that group, we would not have had the same success that we've had over the last couple of months. So really across this scorecard across the board, massive changes each one of them. And each of the next couple of pages then details that. So the run rate earnings we talked about before on Page 30. Page 31, the diversification is extraordinary, both by geographies, number of customers, revenues from the ship portfolio, 850 ship-to-ship transfers versus 650 1.5 years ago, invested capital of $675 million to over $7 billion today. So obviously, a huge change in terms of the diversification of it. And then the operating history, which is very, very hard earned. So the initial rating we had done 6,000 ISO-container loadings. We've roughly doubled that over this period of time. 650 ship operations is now 840 low ship-to-ship operations, we believe, of any company in the hemisphere. 300 employees, over 800, and reliability of 98% going to 99%. So we think we deserve high marks on the credit side as well, and hopefully that will relate to lower borrowing costs and higher credit rates as Chris said before. So with that, let's open it up to questions.
Operator: [Operator Instructions]. Our first question comes from Spiro Dounis at Credit Suisse.
Spiro Dounis: First question from me, just a 2-parter on Fast LNG. I guess based on some of the fine tuning of the strategy here in this morning, it seems like you're nearing a commercial agreement there. So first, I'm just curious, Wes, if you've narrowed down to counterparty and a location. I understand you can't disclose it at this point, just curious how close you are? And the second part of the question, I just want to make sure I understand how you're thinking about Fast LNG now. Has it become more of a natural hedge on the business versus a direct supplier to the terminals. And so in a low price environment, you supply the terminals in an asymmetric upside scenario, you sell it to the highest bidder and effectively subsidize any losses elsewhere? Just trying to understand the mechanics.
Wesley Edens: Great. Well, the answer to the first question is we are having very robust discussions to -- with several counterparties that have significant gas reserves and are looking to monetize them. So the profile of both of them are similar. They're very high credit quality, very large oil and gas companies. Obviously, they have an understanding of the markets and what the market dynamics are. and the availability of our liquefier in the near term is one that is very attractive to them. I mean, it's not an overstatement to say that we are not only possibly but likely to be the only people on planet Earth that has spec developed a liquefier. That's a risk that we have taken on. I think that on the tolling side, that risk is likely to pay off handsomely as we now have an asset that fits their profile. So we are not done on this yet or we'd be talking about that, but I think there's a good chance we have prospects on a number of different fronts on the tolling side. And we think that that's a natural extension of the business. It's really very much along the lines of the Hilli. So that's been a good education for us. And the tolling market, given the market dynamics has improved as well because, again, the value of the product you're creating is more valuable. So therefore, it's just better. On the merchant side of it, I think it's very, very clear what the path it is, is that if you can create merchant volumes at a low absolute price, and you know that you have the backstop of accessing these high-volume markets so that to the extent that the market opportunity is a modest one, you can always just utilize your terminals and provide gas into the markets at competitive prices, you have very, very limited downside, right? And to the extent that there are spikes in prices as we experienced now, you have the massive asymmetrical upside. And that's basically the business. I think that the -- probably the more nuanced answer to that as well, Spiro, is that having access to our own gas only enhances our ability to service our customers better and better and better. At the end of the day, we know that the best use for all of our products is to service customers needs for both gas and power and having gas allows us to be much more flexible in order to do so. I think the last point I'd make about market commentary, I think that the world generally was very off-sized and too complacent about the availability of gas in any market. And what happened, obviously, is that people under committed on their volumes, thinking that they can always go into the marketplace and replace it. We've seen this with many of our own customers. And obviously, we provide 100% of what we are contractually obligated to do. But when the market price changes dramatically, their access to gas or their access to gas at inexpensive levels is very, very constrained. And so not only do you see individual customers get offside, but we saw whole countries get offside and that's where we are right now. And when you get this confluence of events of climate change-related things, which is, again, less rain in Brazil, too much rain in China, not enough wind in Europe. And you throw in other things like just simply higher economic growth and perhaps less gas coming out of Russia, it's a very, very, very explosive combination. That's how you saw gas prices go from 2 years ago as low as $1.85 to transactions in the recent month of $30, $35, $40. So it's an extraordinary environment. And so we think being positioned to have very limited downside and have asymmetrical upside is a massive thing. And as I said in this business, the 3 most important elements in evaluating business are sustainable competitive advantage. We've got a $7 billion, $8 billion downstream portfolio. We soon will add to that merchant capabilities on the FLNG side and the customer business. We think that, that is a massive sustainable competitive advantage to give us both stable cash flows in the normal markets and asymmetrical cash flows in the very volatile ones.
Spiro Dounis: Got it. That's helpful color. Second question, just switching gears to blue ammonia. It sounds like you're being pretty close to sanctioning that. And so I know at one point, Zero Parks was supposed to be spun out, and I think incubate that asset. So I'm just curious if we can get an update on where that spinout potentially is. And as we think about funding the CapEx for pneumonia, where -- or I guess, which entity is going to sort of shoulder that, and if you can give us a rough sense on how to think about that?
Wesley Edens: Yes, it's going to be a modest amount of cash flow we think. I said I think that we haven't made a final determination for how exactly we will capitalize it. But I think in simple terms, the size of the facility that we're looking at initially is roughly $400 million. We're doing that in partnership with the FTAI guys. Ken Nicholson is sitting in the room with us. Now, maybe you can give a little bit of color on this. But I think we expect to be able to finance the lion's share of that capital with tax-exempt financing. So that's one of the secret weapons of these ports financings and terminal financings that we've got, and we've got some pretty good examples of that, but that's how we think about it. In terms of that company existing either inside of NFE or spun out, that's something obviously that the Board and management needs to spend some serious time on. I do think that over time, the opportunities in the hydrogen and transition energy space are so vast that having a separate identity if that makes sense. But -- so I don't think it's ultimately a question of if it should have its own separate identity, but really one more of when it should do so. But Ken, you have some thoughts on you have some flows. 
Kenneth Nicholson : Yes, I'd just say, Spiro, on the financing point. As Wes said, we have had a lot of success at FTAI with tax-exempt financings. You can get pretty high leverage at very, very low rates. It's been a particularly strong market with the new tax and spending policies that are coming out of the federal government, so there's fair amount of demand for tax-exempt securities. We did a big tax-exempt financing at our Jefferson terminal at FTAI over the summer, average rates there, unrated were 2%. For this particular project, most of the expenses and construction costs are eligible for tax-exempt financing. So for a $400 million facility, we should be able to get somewhere between $300 million and $350 million of debt financing against it.
Operator: Our next question comes from Sam Margolin of Wolfe Research.
Sam Margolin: Pretty robust price realization there. Can you just talk a little bit about maybe the business model in Santa Catarina against that power backdrop? Is it going to be sort of a fixed fee terminal business? Or do you envision yourself taking some variable cost economics there against the power capacity?
Wesley Edens: Yes. Thanks for the question. We think it's a great outcome on the power auction and really the right thing for the region and the power shortages. So I think the business will look a lot like our other terminals. We'll have, at Santa Catarina, all sources of downstream demand, so power, industrial, even consumer and residential, and then what we think can be a very kind of robust off-grid or small-scale ISO-container business as well. We don't think about it as any sort of different model. I think you're mentioning almost like a fixed fee model or anything, but we expect to supply gas to our customers through our terminal just like we do everywhere else. And dynamics of the region or access to the pipeline and kind of the overall macro backdrop makes Santa Catarina a really interesting project for us.
Sam Margolin: And then just a follow-up. I think this is for Chris. We've had an inflection here in operating margin. And I think the next phase of the evolution is sort of converting operating margin to cash -- And so recognizing there's a lot of volatility in the underlying commodity in 3Q, there's going to be working capital variance. But can you just help us think about maybe in 2022 as some of these recent terminal scale, how we should think about operating margin sort of flowing to cash flow. I think you kind of said it on a high level, it's a robust cash flow business, but maybe some of the mechanics there on a go-forward basis.
Christopher Guinta: Yes. I mean, so holding aside factors like moving working capital, which happens now as things are turning on and you have more LNG that's being purchased and is being sold for very points in time. The way to think about op margin is reduce it by SG&A, reduce it by your interest expense and reduced it by your tax expense. And truthfully, we think that if you take $1 billion to growing to over $1.5 billion in op margin by the end of next year, reduce that by $100 million, hopefully, that's going down on the cost to kind of run the core business. Reduce it by current interest expense, which is about -- they call it interest plus amortization, Sam, $300 million to $400 million. We obviously want to reduce or eliminate amort through refinancing, as I mentioned. But the goal would be to take by the end of next year, $1.5 billion in run rate down by SG&A, down by interest expense and amortization, leaving you close to $1 billion available for reinvestment. That will be taxed and taxed at varying rates across the business. I'm happy to work with you offline on tax through the model. But I think you can definitely see your way to close to $1 billion of cash to the balance sheet annually.
Operator: Our next question comes from Sean Morgan of Evercore.
Sean Morgan: So just going back to the Brazil power auction. So trying to understand the mechanics of that -- those contracts a little bit. That $0.14 per kilowatt, how would that translate, I guess, on a revenue and a gross margin perspective for MMBtu to kind of, I guess, sort of fit with the existing guidance we have for the models?
Christopher Guinta: Yes. So I don't think we're ready to disclose kind of those details yet, but I'll give you a little bit on how the power option works. So new power producers bid both for an energy price, so like a cent per kilowatt hour price, and they also get a fixed capacity payment. And so what we're kind of trying to message here is that given the kind of need for return on capital over the 44-month period of the PPAs and sort of Brazil is strong incentive to incentivize new power generation. These prices cleared at high levels on the power side. And so I think that's the kind of the point of our message here, and we can show some of that breakdown. And as we, I think, get into that business, we'd be able to show kind of more granularity on how we fit into it. But I think for now, our message, we're just trying to show that, obviously, this is an auction that clears at a very high price, which is recognizing the very high need for new power in the region.
Wesley Edens: Yes. I mean in simple terms, the cost of electricity in response to this emergency auction was roughly double what the long-term cost was previously. So that's a very direct, like what happened to the consumers, what happen in the market. They needed power. There's a lack of hydroelectric power. And so they ran an auction and competitively it cleared at roughly 2x what it was before. So obviously, we're working hard to support in those people that want to provide the power. And by doing so, we'll do so with our volumes, but our margins will be obviously higher than they would have been previous to the market move.  So -- but we don't -- as Andrew said, we don't really break out margins by asset or terminal or individual transaction. I don't think that, that's a productive path.
Sean Morgan: Okay. So just a follow-up, though, on the structure of that. Is it going to look like Sergipe where dispatch backup power for hydro? Or will it be baseload power? Or you guys are pursuing a consistent amount of volumes every quarter after the facilities come online?
Wesley Edens: Yes. Thanks for the question because that's actually mostly public information on the auction. It's baseload power. So most of the plants that cleared are 100% base load. A couple are a little bit less than that. But -- It's totally different in Sergipe.
Sean Morgan: Okay. And then just really quickly on the FLNGs, will those facilities be either or merchant or tolling, like, i.e., you bring on a new project, it will be either tolling or merchant or could they be mixed-use FLNG projects?
Andrew Dete: They definitely could be mixed use. I think that right now, we are down a path where we're talking to people about a tolling arrangement where they just use the infrastructure to access their own gas assets. We're also then looking at situations where we could buy gas and generate ourselves. So right now, they really are in 1 of the 2 camps, but it's entirely conceivable that we would do some kind of transaction where we would both be the tolling provider and also then take some of the volumes. But right now, they're in 1 camp or the other. But there's no reason why they couldn't be combined.
Operator: Our next question comes from Greg Lewis of BTIG.
Gregory Lewis: I guess I was hoping you could kind of parcel through the sequential margin increase. Is there any kind of way to think about Q3 margin growth versus Q2 in terms of -- how much of that was driven by shipping and maybe how much of that was driven by whether you want to call it merchant power or other?
Wesley Edens: Well, the -- at the end of the day, the volumes that we sell are to customers, where there are customers that are buying both for us or customers that are buying long term for us. And so we don't really break out and differentiate between those. We gave I think, pretty clear guidance on what we expect our margins to be in the ordinary course. And so when you look at 2022 estimates of $1.1 billion, those are very much in the ordinary course and are not really looking at kind of asymmetrical market changes. As we get access to volumes, and that's where the FLNG is so important, those numbers could change dramatically. But what I would say is that and I mentioned this right at the beginning, I think that the remarkable aspect of the results that we have is that we did this in a market environment where we went into it actually modestly short in terms of short-term supply. And so we didn't take some market directional debt that actually paid off, right? That's -- That sounds great, but it's very hard to outperform the market for an extended period of time. We had a very market neutral position to one that was modestly short in the short term and that resulted in us actually generating substantial returns because the flexibility that is afforded by the infrastructure we have is remarkably valuable, and the numbers are the numbers. But I think that -- again, we don't break out margin by individual customer or a terminal. We don't think that's a it's a productive way of doing it at all. But the results speak for themselves. We went into a market where we didn't have a market directional bet on and are going to make $585 million in the second half of the year, right? So -- and have given really clear guidance as to what we expect to happen next year and the year after in -- that are absent any kind of asymmetrical really returns. So...
Gregory Lewis: Okay. Okay. And then if I think about the merchant power opportunity. I mean, clearly, what's [indiscernible] Brazil, low water, [indiscernible] probably needs more low water. Is there any -- and I guess you gave Q4 guidance, is there any way to kind of think about the lead times for the merchant power opportunities, i.e., should we be thinking that as we think about maybe what Q1 could look like, we'll just be continually getting updates because the lead times on those are a couple of months? Is that kind of the way to think about like it's at Sergipe and elsewhere?
Wesley Edens: Yes. I think there's kind of two types of opportunities there, right? So I think in something like Sergipe, where you kind of have exposure to the power market, you're able to capitalize on things as they happen in a kind of day-to-day power market. And then we have opportunities that I think are going to look more like the emergency power option we're talking about today. We kind of have a little bit longer-term procurement cycle, but in this case, actually pretty fast, from going to kind of 0 to built on new power plants. And so I think we'll see the sort of regulatory mechanism work in both ways. And the point for us, I think, is just being situated to capitalize on those opportunities as they happen, as well as opportunities outside of power that we're going to see coming as we're really feeling the shortages of kind of energy broadly, we feel like our terminals there are obviously well positioned sort of geographically and in markets and with customers to take advantage of this.
Operator: Our next question comes from Craig Shere of Tuohy Brothers.
Craig Shere: Thanks for putting me in on the 2 MTPA example for merchant capacity, two questions. Is the 1.2 MTPA project, kind of still the cookie cutter. And are we thinking that maybe by the end of next year, we could have 3 total projects, either operating or, well, pass FID?
Wesley Edens: The answer to the first question is yes. It's actually -- the dimensions of the infrastructure is actually 1.4 million tons, we kind of rounded it down. Obviously, the actual production is in part a function of the weather conditions. And obviously, if it's warmer, you're a little bit less efficient in terms of it. But the 1.2 is related to the 1.4. So 1.4 is the actual technical specifications for the year and 1.2 is a guess on it. The 2 million tons we did just simply round it, Craig, we think all these numbers assume 1 or 2 deployments, and we think that there may be many, many more than that. And really, what we are working very hard to create is a factory-like environment for the production of our infrastructure that allows us then to service both customer needs on the tolling side and our merchant needs of our portfolio. And I think that again, the dimensions of the business are one where you have $1 billion to $1.5 billion or more on the business in the ordinary course and the potential to have extraordinary returns if these 100-year floods continue to crop up on an annual basis, which is what we think. I mean, I guess my last thought on it would be when I look at the valuation of the company, I think we are very, very undervalued as a value stock, right? So we're trading at a single-digit number based on actual earnings, which is a value stock metrics -- And for an infrastructure business that typically trades at 2 or 3x that. It seems like we're very, very undervalued from a value stock, and we're a growth company. we have had massive growth. The actual -- the number of companies on planet Earth that started business as a public company 17 quarters ago that are going to generate $1 billion in cash flow is a pretty limited number. And that is just the beginning of it. So I feel like valuation, we've got a long ways to go. We've got asymmetrical exposure to probably the most significant energy-related market in the world. And the energy transition, which we have done -- we were an early adopter of -- that's been a focus of ours from day 1. And we think we're at the one yard line in terms of having an investable product to take advantage of that. So I do think that over time, water finds its own level and we'll get by it appropriately. But I do think it is a massive point of inflection for the company and hopefully the evaluating starts to reflect that.
Craig Shere: And a quick follow-up. Could you opine on the ability of floaters versus just jack-ups to materially expand the potential opportunity set here?
Wesley Edens: There's a lot of ships that are available, right? That's one of the things that led us to this solution was that there's an abundance of drill rigs that can be repurposed. There's also the deepwater ships, the Savant ships, which will work in the deeper water installations. There's an abundance of those available as well. We think both -- I mean what we're really looking for at the end of the day, is roughly 100,000 square feet of deck space to basically put your modules on to. And so there's a much more technical solution to that in terms of the weight and bearing distribution and whatnot is what we're looking for. But you're really looking to be able to clear 100,000 square feet of deck space through 1 or more products. And with that, that's a pretty broad swath of infrastructure that's available for both shallow and deeper water installations.
Operator: I would now like to turn the call back to Wes Edens for his final remarks.
Wesley Edens: Terrific. Thanks, operator. And actually, thanks, everybody, for calling in. Obviously, a terrific quarter and a lot of information, but the path for us is getting clearer by the day. And we're happy to have a chance to share with you. Thanks very much.
Operator: This concludes today's conference call. Thank you for participating, and you may now disconnect.